Operator: Good morning, ladies and gentlemen, and welcome to the NAPCO Security Technologies Fiscal First Quarter 2026 Earnings Conference Call. [Operator Instructions] This call is being recorded on Monday, November 3, 2025. I would now like to turn the conference over to Mr. Francis Okoniewski. Please go ahead.
Francis J. Okoniewski: Thank you, Emma. Good morning, everyone. This is Fran Okoniewski, Vice President of Investor Relations for NAPCO Security Technologies. Thank you all for joining today's conference call to discuss financial results for our fiscal first quarter 2026. By now, all of you should have had the opportunity to review our earnings press release discussing our quarterly results. If you have not, a copy of the release is available in the Investor Relations section of our website, www.napcosecurity.com. On the call today are Dick Soloway, Chairman and CEO of NAPCO Security Technologies; Kevin Buchel, President and Chief Operating Officer; and Andrew Vuono, Chief Financial Officer. Before we begin, let me take a moment to read the forward-looking statement as this presentation contains forward-looking statements that are based on current expectations, estimates, forecasts and projections of future performance based on management's judgment, beliefs, current trends and anticipated product performance. These forward-looking statements include, without limitation, statements relating to growth drivers of the company's business such as school security products, reoccurring revenue services, potential market opportunities, the benefits of our reoccurring revenue products to customers and dealers, our ability to control expenses and costs, and expected annual run rate for reoccurring monthly revenue. Forward-looking statements involve risks and uncertainties that may cause actual results to differ materially from those contained in the forward-looking statements. These factors include, but are not limited to, such risk factors described in our SEC filings, including our annual report on Form 10-K. Other unknown or predictable factors or underlying assumptions subsequently proving to be incorrect could cause actual results to differ materially from those in the forward-looking statements. Although we believe that the expectations reflected in the forward-looking statements are reasonable, we cannot guarantee future results, level of activity, performance or achievements. You should not place undue reliance on these forward-looking statements. All information provided in today's press release and this conference call are as of today's date, unless otherwise stated, and we undertake no duty to update such information, except as required under applicable law. I'll turn the call over to Dick in a moment. But before I do, I want to mention we will be attending the International Security Conference trade show, November 18 through the 20th, in New York City's Javits Center. We'll be showcasing an array of exciting new products. And if anyone is interested in attending, please contact me, and I will arrange to get you a guest pass. In addition, we're actively planning our Investor Relations calendar for non-deal roadshow and conference attendance in the near future. Investor outreach is important to NAPCO, and I'd like to thank all those who assist us in these type of events. In the coming weeks, we'll be attending the [ Robert Baird ] Global Industrial Conference in Chicago; the Stephens Annual Investment Conference in Nashville; the UBS Global Industrials & Transportation Conference in Palm Beach, Florida; the Melius Research Conference in New York City; and Needham's 28th Annual Growth Conference also in New York City. With that out of the way, let me turn the call over to Dick Soloway, Chairman and CEO of NAPCO Security Technologies. Dick, the floor is yours.
Richard Soloway: Thank you, Fran. Good morning, everyone, and welcome to our conference call. We appreciate you joining us as we review our fiscal first quarter 2026 performance. Our first quarter results, which reflects record Q1 revenue, continues the momentum we reported from Q4 of fiscal 2025 and is a reflection of our continued focus on long-term growth and resiliency of our business. Our recurring revenue model has continued its steady growth, while maintaining its substantial profitability. We remain encouraged with our equipment revenue performance and our ability to weather the various microeconomic challenges we encountered in fiscal 2025 as we started to realize some of the benefits from our pricing strategies in response to tariff uncertainties. We have started fiscal 2026 with a positive momentum and confidence in our ability to continue to execute on our plan to provide enhanced shareholder value and growth through the balance of the fiscal year. Now, I'll turn the call over to our President and Chief Operating Officer, Kevin Buchel, who will comment on some of our operational and financial performance highlights. Following Kevin's remarks, our CFO, Andy Vuono, will go through the financials in more detail, and then I will return to delve deeper into our strategies and market outlook. Kevin, the floor is yours.
Kevin Buchel: Thank you, Dick. Good morning, everyone. I'm pleased to share a few highlights from what was a very strong start to fiscal 2026. Total revenue for the quarter was $49.2 million, and that's a Q1 record and up 12% compared to the same period last year. Within those results, equipment sales reached $25.7 million, also up 12% year-over-year, demonstrating the continued strength of our relationships with our distributors and our dealers. And this increase was also supported in part by the early impact of 2 price adjustments: one related to tariffs, and that was implemented at the end of April; and our normal annual price increase, and that took effect in mid-July. We did not see the full impact of those price adjustments in Q1, but we expect to see a larger benefit in the upcoming quarters of fiscal 2026. Recurring revenue remained strong as well, growing 11% over last year's Q1 and maintaining an impressive gross margin of 90.3%, with StarLink commercial fire radios continuing to be the key driver within that mix. Our equipment gross margin improved as well to 26%, representing a 300 basis point sequential increase from fiscal 2025's Q4. From a profitability standpoint, operating income increased 15% year-over-year. Net income rose 9% to a Q1 record of $12.2 million, and that represents 25% of revenue. And our adjusted EBITDA was up 21%, and we now have an adjusted EBITDA margin of 30.4%. Finally, cash continues to grow. It reached $106 million as of September 30, 2025. Cash from operations was $11.6 million. And of course, we have no debt. As such, we are pleased to announce that we are continuing our dividend program, as our Board of Directors declared a quarterly dividend of $0.14 per share, payable on January 2, 2026 to shareholders of record on December 12, 2025. Overall, this was a strong start to fiscal 2026, and I'm very proud of the team's execution across the board. With that, I will turn the call over to our CFO, Andy Vuono, for a deeper look at the financials. Andy?
Andrew Vuono: Thank you, Kevin, and good morning, everyone. Net revenue for the 3 months ended September 30, 2025 increased 11.7% to $49.2 million as compared to $44 million for the same period a year ago. Recurring monthly service revenue continued its strong growth, increasing 11.6% in Q1 to $23.5 million as compared to $21.1 million for the same period last year. Our recurring revenue service now has a prospective annual run rate of approximately $95 million based on our October 2025 recurring service revenues, and that compares to $94 million based on July 2025 recurring service revenues, which we reported back in August. These increases reflect the continued demand for our line of StarLink radios. Equipment revenue increased 11.8% to $25.6 million as compared to $22.9 million for Q1 of fiscal '25, which is a result of increased volume in our door locking product line and the impact of certain product pricing increases that went to effect in the quarter. Gross profit for the 3 months ended September 30, 2025 increased 13.1% to $27.8 million with a gross margin of 56.6% as compared to $24.6 million with a gross margin of 55.9% for the same period last year. Gross profit for recurring services revenue for the quarter increased 10.7% to $21.2 million with a gross margin of 90.3% as compared to $19.2 million with a gross margin of 91.1% last year. Gross profit for equipment revenues in Q1 increased 21.8% to $6.6 million with a gross margin of 25.7% as compared to $5.4 million with a gross margin of 23.6% last year. The increase in equipment gross profit was primarily a result of product mix as door locking products have a higher gross margin than intrusion. That, coupled with certain price increases and improved overhead absorption as a result of increased volume, contributed to the improvement in the equipment margins. R&D costs for the quarter increased 6% to $3.2 million or 6.6% of revenue as compared to $3.1 million or 6.9% of revenue for the same period a year ago. The increase for the 3 months primarily resulted from increased labor costs, which was partially offset by reduced consulting fees. Selling, general and administrative expenses for the quarter increased 13% to $11 million or 22.3% of net revenue as compared to $9.7 million or 22.1% of net revenue for the same period last year. The increase in SG&A for the 3 months were primarily due to increased legal fees and sales commissions, partially offset by decreased bonuses and compensation and benefits. Operating income for the quarter increased 15.1% to $13.6 million as compared to $11.9 million for the same period last year. Interest and other income for the 3 months decreased 13.5% to $1 million as compared to $1.1 million last year. The decrease for the 3 months ended September 25 was due to lower interest income from the company's cash and short-term investments as a result of lower interest rates. The provision for income taxes for the 3 months increased 36% or $655,000 to $2.5 million with an effective tax rate of 16.9% as compared to $1.8 million with an effective tax rate of 14% last year. The increase in the provision for 3 months was due to higher pretax income, as well as a larger portion of the company's taxable income being attributable to U.S. operations, and the remeasurement of certain deferred tax liabilities due to tax rate changes enacted in the One Big Beautiful Bill Act in the current period. Net income for the quarter increased 8.8% to $12.2 million or $0.34 per diluted share as compared to $11.2 million or $0.30 per diluted share for the same period last year and represented 25% of net revenue. Adjusted EBITDA for the quarter increased 21.1% to $14.9 million or $0.42 per diluted share as compared to $12.3 million or $0.33 per diluted share for the same period a year ago and equates to an adjusted EBITDA margin of 30.4%. As it relates to our balance sheet, as of September 30, the company had $105.8 million in cash and cash equivalents and marketable securities as compared to $99.1 million as of June 30, 2025, a 6.6% sequential increase. The company had no debt as of September 30. And cash provided by operating activities for the 3 months ended September 30, 2025 was $11.6 million as compared to $12 million for the same period last year, a 3% decrease. Working capital, which is defined as current assets less current liabilities, was $159.2 million as of September 30 as compared with working capital of $149.9 million on June 30, 2025. Our current ratio was 7.5:1 on September 30 as opposed to 7.3:1 on June 30, 2025. And our CapEx for the quarter was $193,000 as compared to $680,000 in the prior year period. That concludes my formal remarks, and I would like to return the call back to Dick.
Richard Soloway: Thanks, Andy. Let me close with a few reflections on where we've been and where we're headed. This quarter, NAPCO once again demonstrated the strength and resilience of our business model. We remain focused on delivering lasting value to our customers, partners and shareholders, and the results speak for themselves. Recurring revenue now represents nearly half of our total sales, supported by a sustained 90%-plus gross margin. This steady high-margin income continues to drive consistent cash generation and reinvestment in innovation and growth. A key contributor remains our StarLink Fire radio platform, which has become the industry standard for commercial fire communications. Operationally, our team is executing exceptionally well. We manage inventory tightly, continue to invest in product development, compliance and infrastructure, and return capital through dividends, all while maintaining a debt-free balance sheet. Looking ahead, we remain optimistic. Market dynamics continue to evolve, but we're not standing still. We've implemented pricing actions, diversified our distribution base and invested in automation and enhancements to the StarLink platform, aimed at sustained growth and protecting margins. Our strong balance sheet provides flexibility for both organic investments and potential strategic acquisitions, while keeping us committed to shareholder returns. One area where NAPCO continues to make a real impact is school security, one of the most critical challenges of our time. We're proud to partner with school districts nationwide, providing integrated solutions that include our Trilogy and ArchiTech lock sets and enterprise-scale access control systems. These platforms are secure, scalable and aligned with the Partner Alliance for Safer Schools, or PASS, program standards, giving educators and administrators solutions they can trust. What truly differentiates NAPCO is our ability to integrate locking, access control and alarm technologies into a unified interoperable platform, protecting students and staff every day, while driving future growth. At the same time, we continue to expand recurring revenue opportunities through innovation. A great example is our MVP cloud-based access control platform, which integrates seamlessly with our locking hardware. MVP introduces a new subscription-based revenue stream for NAPCO and our dealers, and it's available in 2 configurations: MVP Access, an enterprise-grade solution supporting unlimited users; and MVP EZ, a mobile-first version for locksmiths and smaller facilities. We believe MVP has the potential to be a game changer, extending our leadership into hosted access control and reinforcing our strategy of pairing innovative hardware with cloud-based services to drive higher-margin recurring revenue. Beyond education, our Alarm Lock and Marks hardware lines continue to gain traction in health care, retail and multi-dwelling applications, as well as airport infrastructure upgrades. And as the transition away from legacy copper phone lines accelerates, our StarLink radios, which operate on both AT&T and Verizon networks and now also T-Mobile, are well positioned to capture additional market share across millions of commercial and residential buildings. Operationally, our Dominican Republic manufacturing facility continues to be a key competitive advantage, offering cost efficiency, stable logistics and low tariff exposure, a benefit versus many competitors manufacturing in higher-tariff regions. While external market and regulatory conditions remain fluid, we're focused on what we can control, driving innovation, executing with discipline and growing our base of recurring revenue. We're confident that our strong net income, adjusted EBITDA and cash flow trends will continue to strengthen. In summary, we have begun fiscal 2026 with a solid momentum, a clear focus, a stronger financial foundation than ever before. I'm incredibly proud of our team, what our team has accomplished and excited about the opportunities ahead. Thank you all for your continued support and confidence in NAPCO. Our formal remarks are now concluded. We'd like to open the call for the Q&A session. Operator, please proceed.
Operator: [Operator Instructions] Your first question comes from Matt Summerville with D.A. Davidson.
Matt Summerville: A couple of questions. First, on locking. Can you talk about what percent of your locking mix today is represented by that networked product? And then, can you also discuss how your MVP technology differs from other major locking players in the space today? And then, I have a follow-up.
Kevin Buchel: I'll answer the first part, and then Dick could answer the second part. So the first part, most of our sales in locking are the traditional products. MVP is just starting out. It's gaining some traction. We're going to show it again at ISC East, which is in a couple of weeks. We're going to show upgrades to what we showed at ISC West back in April. The expectation is, once we show that and start shipping that, we'll start to gain more traction in the new stuff. But the old stuff, the traditional stuff is powerful stuff. Locking is 66% of equipment sales. And that includes all the categories we mentioned in our prepared remarks, including schools and lots of things. We don't announce all the school wins. The schools, sometimes they don't want us to talk about it. But believe me, they're there, and that's part and parcel of why locking was so strong. It was very strong in this quarter, and the expectation is it will continue to be strong. Now Dick, maybe you can comment on why our MVP is different than anybody's product out there.
Richard Soloway: Sure. So the MVP product that we introduced is a new recurring revenue generator for locksmiths, as well as system integrators. And what's interesting about it is that we have a totally integrated system because we manufacture the locks. We've been gold standard lock manufacturers under the Trilogy brand for many, many years. It's considered the best locking product. Now, we've added the radio aspect to it, which communicates to our cloud and the cloud is owned by us. We built it. So we're a total integrated manufacturer, which allows us to add a lot of extra functionality to the concept of locking with a recurring revenue tail to it. So if you're an administrator in a hospital, you're in charge of the security division, you can get instantaneous information with all the equipment up in the cloud. No longer does it have to be on the site and where the dealer has to go back and make upgrades to the software. It can all be done in the cloud, and we do it all for the dealer. And we charge $3 a door for each door, and there are millions and millions of doors out there. While we're very successful with the fire alarms and the burglar alarm radio products, which generate recurring revenue, there's millions of those type of buildings where there's one radio per building usually. In this case, you could have 15, 20, 100 doors generating $3 per door with all these services. So it's a totally integrated hardware-software package, and we made it in 2 different ways. One is for basic smaller offices, doctors' offices. You have 6 doors. And that's the MVP EZ. And then, the full-blown access control cloud system is for system integrators to do larger jobs. So we can control our own destiny unlike a lot of our competitors, which have to get locks from one manufacturer, then they do the software themselves or vice versa. We do it all in-house. We have an engineering staff that develops everything from soup to nuts, from the hardware, all the way up to the middle and software of these systems. So it makes us very unique. It's going to be very powerful in the future. It's a way for dealers and locksmiths to build equity in their business now by getting recurring revenue from each door where they install the locks.
Matt Summerville: And then, just as a follow-up, can you parse out a bit, in the fiscal first quarter, how much of the hardware revenue growth would have been price versus volume? I'm trying to get a feel for how much price has yet to be realized. And any high-level thoughts as to how the remainder of the fiscal year cadences out would be beneficial.
Kevin Buchel: So that's -- it's a combination, Matt. As I said earlier, it's -- we didn't get the full benefit of the price, but we will as the year progresses. Andy could give us some color of kind of what it was in Q1, but we know that there's a lot more to come from the benefit of the pricing. Andy, do you want to comment on it?
Andrew Vuono: Sure. Matt, so in response to that, so of the approximate 12% increase in equipment revenue for the period, our preliminary analysis has indicated approximately 60% of that is related to volume increases and 40% is tied to the pricing increases that went into effect in Q1.
Operator: Your next question comes from Jim Ricchiuti with Needham & Co.
James Ricchiuti: Maybe a follow-up to that, and I know this information is going to be in the Q later today, but can you give us a sense as to what the overall growth was in the door locking products business and whether, when you talk about the early pricing benefits, you saw some benefit in that part of the business as opposed to the radio business?
Kevin Buchel: So locking -- and you'll see this in the Q that's going to be filed today, a little later today. Locking for Q1 was $17,083,000. Last year's Q1, it was $13,854,000. So that's a substantial increase. Locking was very strong. Some of it did come from orders that were placed by distributors trying to beat the price increases. We carried a backlog of several million into Q1 from Q4. But a lot of it was not that. So it was really some of it guys going ahead, trying to beat the rush, but a lot of it is locking being strong. This is one of the strongest locking quarters, maybe the strongest we've ever had. It was right up there. And the expectation is, it's going to continue. We don't have situations in the channel where guys are loaded up and presumably, they're not going to skip when we come to then this quarter, Q2. You never know with distributors. They behave funny sometimes, but the channel is good. The sell-through is strong. The expectations are all very good in the locking segment.
James Ricchiuti: Helpful, Kevin. And I wonder, maybe just to the comment you just made, just the overall tone of demand, what you're hearing from some of your channel partners? You alluded to a good sell-through that you're seeing on the door locking side, maybe on both parts of the hardware business. Any color you could provide in terms of what you're seeing, hearing sell-through stats or otherwise?
Kevin Buchel: Right. So sell-through stats -- this is as of Q1. I can't really comment on what's Q2, which is a month old. But for Q1, we saw very good sell-through stats for all of our locking partners. And we have 2 locking companies, and it was good on both. On the intrusion side, we saw tremendous improvement there, too. So as -- and I look at this very closely every month. So I was [indiscernible] what I'm seeing. I always caution because I never know what distributors are going to do. It's their year-end in December. Who knows what's going to happen. But if we're going to base it solely on what stats we're seeing, and that's their inventory levels and the sell-through, we should be in good shape in both areas, locking and intrusion.
Operator: Your next question comes from Peter Costa with Mizuho.
Peter Costa: I'd like to maybe dig a little bit further into the service margins. That 80 basis point year-over-year decline was a little bit more than expected. What's kind of causing that pressure? Is there anything on underlying radio margins, an acceleration in MVP? Anything there?
Kevin Buchel: So Peter, there were really 2 factors that affected the margin for the recurring, which still is tremendous. 90.3% is still tremendous. It did go down from a little bit over 91%. So 2 factors. Factor number one, we now have a triple carrier radio. That introduces T-Mobile into the mix. We have to buy minutes to support that. We haven't really charged anybody for that. And even though it's not a lot of money, it did move the needle a little bit. The expectation is, we will increase our radio -- our recurring radio charge to cover that. It's not going to be a lot, but it might be enough to move the needle back to where it was. That's one factor. Another factor is, we are gaining a lot of business from some very large dealers. I don't want to mention any names, but there are large dealers out there. One in particular has been buying a lot of the smaller dealers. It seems like they do an acquisition every week. And as a result of that, we're picking up more radio business, and we will be picking up more in the future. This consolidation, if you want to call it that, from the big guys buying up some of the smaller guys, and the radio segment has all moved in our favor. But the big guy loves our fire radio. And when he buys a smaller dealer, he is going to make sure that the smaller dealer's customers get our StarLink Fire radio, if they weren't using it. Maybe they were using it. But if they weren't, opportunity for us to pick up even more share. The one negative of this, and it's mostly positive, is a big guy can command a little bit of a better price. Maybe the big guy pays $1 less than what the smaller guy is paying. We honor that. We're happy to get more business. So if a guy was paying $8 and we have to lower it to $7, just to use an example, we will do that. We'll do that all day long because we're picking up more radio recurring revenue business. So that, too, can move the needle a little bit. Absent of that, it's all the same powerful margins that you've been seeing.
Peter Costa: Makes a lot of sense.
Richard Soloway: Let me add something else to that. I network a lot with the dealers, and some of the dealers in certain parts of the country have told me that T-Mobile is more reliable on their cell phones than the other services. So evidently, the towers are different or the way the reception is for the radios on their towers is different. So by adding T-Mobile to our mix of AT&T and Verizon, now we have all the major carriers. And the areas where T-Mobile is the strongest in pickup and communications is now in our radios. So we're going to pick up market share -- additional market share with a more stable radio network with T-Mobile. So that's going to help us a lot. So overall, it should be a net positive having T-Mobile as part of our mix.
Peter Costa: Awesome. Maybe just thinking about the price on the radio, I think that's kind of intended to be under the RSR, and that seems like a pretty big deal. How would you kind of approach that? Is that just the entire installed base would get a little bit of price, just incremental sales or just like the T-Mobile radios? How would you tackle that?
Kevin Buchel: If it's a triple carrier, it's going to be in everybody's radio. So to cover it, everybody would probably get a little bit of an increase, not much. Believe me, we don't want to mess with a very good formula. But I -- like the shareholders, I want to keep that 91% margin as well. And if we have to raise it a little bit to keep it up there, we're going to do that. So we're looking at that now, Peter.
Operator: [Operator Instructions] Now our next question comes from Jeremy Hamblin with Craig-Hallum Capital Group.
Jeremy Hamblin: Congrats on the strong results. Just wanted to start a little bit with kind of the manufacturing facility, making sure that in terms of the hurricane that had some impact in the DR, just understanding what you've seen there. And then, just kind of related note, in terms of how the tariffs are being applied at this point and impact, as you look forward in calendar '26, do you feel like you're going to have kind of normal pricing increase on products? Or is there any incremental that you need to take to cover where tariffs stand today?
Richard Soloway: This is Dick Soloway. I moved down there to the Dominican Republic after I searched around in China and Mexico and decided Dominican is great for a lot of advantages, closest to the U.S., stable government and being able to get the workers that we needed. And we built this custom building. After we were in individual smaller buildings, we built a custom building, which is Category 5 proof. It's all concrete building. So we don't have any issues. We had no problem with the hurricane that passed by. We generate our own power, make our own water. We're self-contained like city down there. And of course, we have our workers come from around the area. And it's actually a shelter for them in a hurricane because it's stronger than the houses. So it works out really, really well. So we had no issues with that, and we don't expect there's anything that's going to be able to cause us any grief in the future. And what was the second part of the question?
Jeremy Hamblin: Just in terms of tariff impact and thinking about pricing in 2026 and whether or not you take kind of your more typical price increase or whether or not you would take slightly more, just given how kind of the tariffs are playing out here. I mean, we've seen some stabilization in kind of tariff mandates, but...
Kevin Buchel: The tariffs for the DR, very stable. It's not like some of the other countries where it's going up, it's down, it's here, it's there. We know what it is, 10%. That's what it is. That's what it's been. We took an increase to cover that back in -- we announced it back in April. We don't need to do anything more on that front. We took a general price increase that we announced in July. We don't expect to do another one until we get to the end of this fiscal year that we're in. So pricing-wise, we're good. The only thing is, we haven't felt it all yet. We expect to feel good about it -- better. We feel good already. We expect to feel better about it as we get deeper into the year as the full effect is felt. We haven't felt it yet.
Jeremy Hamblin: Great. And then, just coming back to the service revenues. You saw a nice little bit of sequential year-over-year improvement from what you had in the June quarter. And you just had a strong quarter with locking. I wanted to just get a sense with the evolution of that business and potentially getting some recurring revenue associated with that in combination with kind of the radio alarms and so forth. When do you think you might kind of see that show up here in recurring service revenue growth as FY '26 plays out?
Kevin Buchel: When we released it, when we first talked -- started talking about it, showed it at ISC West in April, and we said at that time, give it 18 months to 2 years. That's how long this kind of thing takes. We hope it's sooner, but I would give it time. I think we'll feel a little bit more as this fiscal year progresses. I think fiscal '27 is when I think we'll really start to feel it. So you got to give it time. We're like 6 months removed basically from when we really had a coming out party for it. Now, we're going to have another coming out party in a couple of weeks to show the other versions of MVP. Give it another year after that, and I think it could be meaningful.
Richard Soloway: I went through -- because I've been in the alarm business for a long time, I went through alarms without recurring revenue. Imagine, in the early years, it was just a hardware job that was put in by a dealer. There was no recurring revenue, and the dealer went on to another hardware job. And then, the intro of recurring revenue in the alarm business revolutionized that business. Every job that goes in, intrusion of fire, has a recurring revenue communicator in it, and it gives great service to the occupant of the building, the owner of the building. So, that change, it took a couple, 3 years for dealers to understand why you want to build equity in your business. You just don't want to do a job and do another job after that without having a recurring revenue tail. We're going through the same situation now in the locking business, 25 years later. The locking business is such that a dealer will put in a locking job, either a large building or smaller buildings, and then they go on to the next job, but there's no equity building, no recurring revenue. We are unique in the business, having the fact that we make the locks, we make the radios and that the locksmiths and the integrators don't get recurring revenue from this type of service. And we believe, like it happened in the alarm business, there's going to be a changeover that locksmiths are going to want to get recurring revenue tail to everything they do. And that's what we're doing now. Patterning ourselves after the original alarm business, now we're bringing it to the locking business, and we're unique in the fact that we're the company that can do that because we have all these different facets that we've knitted together to make an integrated manufactured locking product and a cloud product for these locksmiths and for the system integrators. So it's going to be an exciting ride going forward. Just piling on more recurring revenue is the name of the game for us. We've become a communications type of company, and it's going to grow ever larger.
Jeremy Hamblin: Just as a quick follow-up on that point, so as we look to FY '27, do you have a sense for what portion of your total service revenues could be tied to the locking products as opposed to the alarm?
Kevin Buchel: I think it's premature for us to throw out projections like that. I would just say, I think it would be meaningful and just leave it at that.
Richard Soloway: Just think about how many doors are out there and how many commercial buildings. This is all commercial. This is not residential. And what information you can get from every door who comes in, in case of emergencies, what's going on in the hospital, in the drug area, where the drug cabinets are, and you get instant information and reports, doing time and attendance and all kinds of other great things, knowing everything that goes on in every door in the building that has an MVP system, locking system installed on it. I would say that if you don't have this type of system a couple of years from now, you're really in the blind as a management company or as a security department in an industrial building. You've got to have this information. You shouldn't be in the blind. And MVP will give it to everybody. And it's very, very economical, very reliable because it's all built using our StarLink communications program.
Operator: Next up, we have Jaeson Schmidt with Lake Street.
Jaeson Schmidt: Curious if you can give us an update on how ADI is progressing.
Kevin Buchel: ADI relationship, excellent. They do a great job over there. They move a lot of intrusion equipment on our behalf. I couldn't be happier with the exception of one thing. I'd like more locking sales out of them, and we told them this. They're great with the alarm side. We think there's an opportunity for locking through them. They have over 100 branches. I think it's 115 branches, and it would be nice to move locking through those 115 branches. Absent of that, they're doing a very good job, very happy.
Richard Soloway: Let me add something to that. There's lots -- there are many, many dealers, and a larger percentage of dealers are going to be doing locking jobs. These are the alarm dealers that do fire and burger alarm jobs, but they're not doing -- not a large percentage of doing locking. They're just staying into the alarm sector of the business. Now, with recurring revenue added on to the locking jobs, it's not just a hardware installation. It's a recurring revenue generator for them. It adds to their fire and burger alarm recurring revenue. And we're going to be training lots of these locking dealers to utilize it and lots of the alarm dealers to utilize it and vice versa. So we're going to be doing a lot of cross-training so that a dealer can be a total wraparound business. He gets recurring revenue from his alarms and he gets recurring revenue from his locking installations and vice versa. So ADI is a great vehicle because they're the largest distributor. They should -- they will, I'm sure, enter into the locking business all across the country, and it's going to be great for market share for us because we're the only alarm manufacturer that has a locking division, and we're the only locking manufacturer that has an alarm division designing and manufacturing all these things. So we're a natural play for the whole locking and alarm industry. We have 3 locking companies, Marks and Alarm Lock and Continental, and we have the NAPCO burglar and the fire alarm business. So we really have the widest range of products out there. Great partners with ADI, and they're a great company. They're really buttoned up.
Jaeson Schmidt: Okay. That's helpful. And then, just as a follow-up, sorry if I missed it, but when will the price increase go into effect to account for the T-Mobile compatibility?
Kevin Buchel: We're studying that now, Jaeson. We're very cautious with the pricing for the recurring. But it's very clear that we're adding a cost that we're not being compensated for. So we're looking at it. And I would say it's imminent, but we haven't decided it yet.
Operator: [Operator Instructions] Our next question comes from Lance Vitanza with TD Cowen.
Lance Vitanza: So I wanted to talk a little bit about the school security side. And I think it was about a year ago that you announced the Pasadena school contract. I'm wondering what the status is of that, how far along that is or how it went? Any sort of lessons to learn or just how that sort of leaves you feeling about the opportunity more broadly?
Kevin Buchel: That project went well. It's been completed. The opportunities are still tremendous throughout the country. You see all the shootings that are still going on. You still see the announcement that barricade chairs in front of the doors. These are all things we all have been hearing for over 10 years. And unfortunately, a lot of the schools, school districts move very slowly. We do our best to go around the country and show the school districts if they have any issues with money, how to go about getting the money. There's lots of money available. A lot of funds have been allocated to school security. It's there. The universities have no issues. They have the money, and they have the needs as well. Despite the shooting has been going on for over 10 years, we're in the early innings, I would say, fourth or fifth inning of this. Still tremendous opportunity. We win a lot of business, and we don't -- we're not able to tell you about it unless the school grants it, grants us permission. And sometimes, we don't even know about it because the distributors just are doing a job for a school district and they buy a lot of our equipment. We know it's meaningful. We know there's a lot more to go. We know we have the solutions. We know we're the only company because we do locking and access and alarms. We're the one-stop shop that a lot of schools need. So we just keep going out there and getting that word out.
Richard Soloway: Yes. We manufacture locks, which are inexpensive for K-12s, and then we manufacture versions of that lock with remote control to them, so you can lock doors remotely, do wide area campuses with our locks. And it's a very diversified line of wide-ranging locks. And as Kevin said, we manufacture the locking, the lock set. We make the parts. We assemble it. We do the radios. We have the cloud. We have all of that experience, and schools appreciate it, and we're doing very nice school work. And -- but still, even after hundreds of shootings a year in the U.S. -- it's a tragedy -- a lot of schools haven't installed it yet. So the fourth or fifth inning of the installation availability. So there's a lot more to do. So schools that make great choices will select the NAPCO system, and we can be flexible from the smallest to the largest campuses out there. So it's a great thing that we're manufacturing that. We want to protect the students and the faculty. And with NAPCO, you can. So our guys are beating the bushes and showing this to these facilities. And eventually, everybody will get armed up against intruders that come into schools and cause havoc.
Lance Vitanza: If I could just get one more in on the balance sheet. Cash at $106 million, that's as high as it's been in my memory, recent memory. What do you plan to do with all that cash? I know you talked about possible M&A. The dividend, I mean, you're covering that out of your cash flow. So -- and I'm guessing that the amount of cash that you actually need to run the business is a small fraction of what you had -- what you have. So can we be thinking about any kind of accelerated return of capital to shareholders in 2026?
Kevin Buchel: It's a good problem to have, Lance. We keep generating more and more cash. There's not a lot of M&A that's required to run the business. You heard in Andy's comments that CapEx was minimal. We need lots of labor, and we can get it in the Dominican Republic. So the needs for cash dividends, potential acquisition, we have lots of bankers talking to us. Every banker tells us they have the perfect deal for us, but we're pretty fussy. There's a lot of boxes it has to check. We don't want to be distracted. But if it's the right deal, we certainly would proceed. And there are -- I'm sure there are companies out there, and we go through -- as the bankers present them, we go through them all. And if one hits the right spot, we'll go after it. The last thing we want to do though is get distracted by something that's not accretive from day 1. We don't want to overpay, but it could be a good thing. And we're in a good position to do it much better than the position we were in when we did our last one 15 years ago when we had minimal cash, lots of debt and no recurring revenue. So we got a lot of cash, lots of recurring, no debt. We could do it. It's got to be right.
Operator: There seems to be no further questions at this time. So I will now turn the call over back to Richard. Please continue.
Richard Soloway: Thank you, everyone, for participating in today's conference call. As always, should you have any further questions, feel free to call Fran, Kevin, Andy or myself for further information. We thank you for your interest and support, and we look forward to speaking to you all again in a few months to discuss NAPCO's fiscal Q2 results. Have a wonderful day, everybody. Bye-bye.
Operator: Thank you, Richard. Thank you, everyone. Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.